Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Hormel Foods First Quarter Earnings Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, February 23 at 8:30 Central Standard Time. I will now turn the conference over to Mr. Kevin Jones, Director of Investor Relations. Please go ahead.
Kevin C. Jones: Good morning, everyone. Welcome to the Hormel Foods conference call for the first quarter of fiscal 2012. We released our results this morning before the market opened around 6:30 a.m. Eastern Time. If you did not receive a copy of the release, you can find it on our website at www.hormelfoods.com under the Investors section. On our call today is Jeff Ettinger, Chairman of the Board, President and Chief Executive Officer; and Jody Feragen, Executive Vice President and Chief Financial Officer. Jeff will provide a review of the operating results for the quarter, then Jody will provide detailed financial results for the quarter. The line will be open for questions following Jody's remarks. An audio replay of this call will be available beginning at 10:30 a.m. Central Time, today, February 23, 2012. The dial-in number is 1 (800) 406-7325, and the access code is 4509484. It will also be posted to our website and archived for one year. Before we get started with the results of the quarter, I need to reference the Safe Harbor statement. Some of the comments made today will be forward-looking and made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed in or implied by the statements we will be making. Among the factors that may affect the operating results of the company are fluctuations in the cost and availability of raw materials and market conditions for finished products. Please refer to Pages 27 through 30 in the company's annual report for the fiscal year ended October 30, 2011 for more details. It can be accessed on our website. [Operator Instructions] And I'll now turn the call over to Jeff.
Jeffrey M. Ettinger: Good morning, everyone. We announced first quarter earnings this morning of $0.48 per share, down 13% from a year ago. During the quarter, we experienced weak pork operating margins and soft sales in the center of the store. Nonetheless, our current performance represents the second best quarter in our company's history. In terms of the top line, we generated a sales increase of 6% with gains in 4 out of our 5 business segments. Although total volumes declined 2%, the majority of the decline was due to a planned reduction in harvest levels at our Jennie-O Turkey Store segment. As you may recall from our November conference call, we had anticipated a challenging start to 2012. Though our overall results were not surprising, how we got there wasn't exactly as we had planned. Our Jennie-O Turkey Store segment performed better than we expected and International turned in a good quarter, while our Refrigerated Foods, Grocery Products and Specialty Foods segments did not perform as well as we had anticipated. I will now take you through each segment. For Grocery Products, segment profit decreased 9% on 3% lower sales. These results were prompted by significant input cost inflation and by decreased sales of our core products. We have encountered some sluggishness as consumers adjust to higher prices. Despite these conditions, we are seeing continued growth of our MegaMex product lines. Sales of Don Miguel products and the Wholly Guacamole refrigerated dips registered the biggest growth gain. Sales of our Hormel Compleats microwave meals declined slightly during the quarter as our new advertising campaign and the new product varieties and packaging have not yet been fully implemented at the store level. Our Refrigerated Foods segment reported a 44% decline in operating profit, due primarily to unfavorable pork operating margins. You may recall that pork operating margins were particularly strong during our first quarter a year ago. Higher raw material costs also negatively impacted margins in our Meat Products group during the quarter. Sales for our Refrigerated Foods grew 7% in the quarter, led on the Retail side by Hormel's Sliced Pepperoni, Hormel Country Crock Side Dishes and Hormel Natural Choice deli meats. Foodservice sales were also higher with solid gains from Hormel Natural Choice deli meats, AUSTIN BLUES barbecue products and Café H ethnic products. Operating profit at our Jennie-O Turkey Store segment increased 4% on a sales increase of 4% driven primarily by expanded sales of our retail value added products. Sales of our Jennie-O Turkey Store fresh tray pack items and turkey burgers were particularly strong as we continue to benefit from our Make the Switch advertising campaign late last year. We reduced our harvest volumes during the quarter in order to better balance our turkey meat supplies. Export demand also remains strong, supporting dark meat prices during the quarter. Our Specialty Foods segment operating profit declined 4% in the quarter as higher raw material and freight cost negatively impact results. Sales by our Specialty Foods segment grew 14% during the quarter led by nutritional products, private label canned meats and gelatin dessert products. In our All Other international segment, operating profit grew by 25% on a 17% increase in sales. We enjoyed strong exports of fresh pork and sales growth in our SPAM family of products. We also saw improved results at our Purefoods-Hormel joint venture in the Philippines. As we stated in our Fourth Quarter Conference Call, we anticipated a more difficult operating environment in 2012 and for comparisons to be more challenging in the first half and to become more favorable in the back half. We look for pork operating margins to slowly improve as the year proceeds. Grain costs will remain volatile this year, but we expect our team at Jennie-O Turkey Store to continue to do a good job of maintaining margins. We are optimistic that sales in our Grocery Products segment and our Meat Products group will improve during the remainder of the year as our Hormel and SPAM brand advertising campaigns gear up. We expect our Foodservice Group to build upon their solid start this year as the foodservice industry shows gradual improvement. We are looking for better results from our Specialty Foods segment going forward as sales should continue to grow and the pricing we have implemented takes effect. We also anticipate enhanced operational efficiencies will improve profitability later in the year. We expect continued growth from our International segment, which is benefiting from a positive export environment and from their branding and marketing efforts. Taking all these significant factors into account, we are maintaining our fiscal 2012 earnings guidance range of $1.79 to $1.89 per share. At this time, I will turn the call over to Jody Feragen to discuss the financial information relating to the first quarter.
Jody H. Feragen: Thank you, Jeff. Good morning, everyone. Earnings for the first quarter of fiscal 2012 totaled $128.4 million or $0.48 per share compared to $148.8 million or $0.55 per share a year ago. Dollar sales for the first quarter totaled $2 billion compared to $1.9 billion last year, a 6% increase. Volume for the first quarter was 1.2 billion pounds, down 2% from fiscal 2011. Selling, general and administrative expenses in the first quarter were 7.5% of sales, down slightly from 7.6% of sales last year. Selling, general and administrative expenses are expected to be between 7.5% and 8% of sales for the entire year. Interest and investment income was $1.6 million for the first quarter compared to $441,000 last year. Interest expense for the quarter was $3.2 million compared to $6.6 million last year. With lower debt levels and decreased interest rates, we expect interest expense to be approximately $12 million to $14 million for fiscal 2012. Our effective tax rate in the first quarter was 33.4% versus 34.7% in fiscal 2011. For total fiscal 2012, we expect the effective tax rate to be between 34% and 35%. The basic weighted average number of shares outstanding for the first quarter was 264 million. The diluted weighted average numbers of shares outstanding for the first quarter was 270 million. We repurchased 380,000 shares of common stock during the first quarter, spending $11.1 million. We have 3 million shares remaining to be purchased from the current authorization in place. Total debt at the end of the quarter was $250 million compared to $350 million last year. Depreciation and amortization for the quarter was $31 million, even with last year. We expect depreciation and amortization to be approximately $115 million in fiscal 2012. Capital expenditures for the quarter totaled $29 million compared to $15 million last year. For fiscal 2012, we expect capital expenditures to be about $140 million to $150 million. We will be integrating the sales of Don Miguel Foods, part of our MegaMex Foods joint venture beginning with our fiscal third quarter. Our retail sales force will take responsibility for representing this expanded Mexican foods portfolio and we will report these sales in our Grocery Products segment. Profits will continue to be accounted for, through equity and earnings, in the Grocery Products segment. As a result, added sales from the Don Miguel integration for the second half of 2012 are estimated to be between $75 million and $85 million. At this time, I will turn the call over to the operator for the question-and-answer portion. Operator?
Operator: [Operator Instructions] Your first question comes from Akshay Jagdale.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Just wanted to ask you about your read-through on the consumer, especially as it relates to Grocery Product volumes, which you cited as being weak. We have CAGNY and trying to get an explanation from one of the food companies as to why we've seen a weakness. And I'd like you to just give us your perspective from a consumer insight standpoint. So why do you think -- what's going on with the consumer? Why are we seeing weakness in the center of the store?
Jeffrey M. Ettinger: Well, there's a few factors that could be coming into play. First of all, as many of the companies in the industry have had to push pricing, we certainly could be seeing consumer reaction to the pricing. Typically, over time, as consumers get used to both the new shelf price and new feature price, volumes return to a more normalized level. Secondly, it's really -- in our case, there's certainly is a potential of some -- of a weather effect. The areas where we saw the biggest weakness within Grocery Products were our canned good franchises, which for example, in the prior-year when there was a cold winter throughout the country and people were eating at home more often, we saw quite strong sales and that was where our biggest declines occurred this quarter. Really, if you look at some of the other items within Grocery Products, Compleats were down, but they were only down 3% on a volume basis. MegaMex was up 1% and that's not counting the Don Miguel sales, which as Jody mentioned, in the future will start counting within our total sales starting in the second half. And then lastly, we really have seen a mixed bag in terms of trends. There's no question that in terms of our total groceries results, the kind of tonnage that was delivered was lower than we had hoped. But we had some areas of very strong tonnage within the retail franchise. Our Natural Choice business did great during the quarter, we had good growth in Pepperoni and Country Crock, Jennie-O had big double-digit increases in their tray pack and burger numbers. So if you get away from some of the center aisle areas, we are still seeing very sold volume growth.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Perfect. And just one for, I think, Jody or even you, Jeff. On the pork side, why are -- in your opinion, why are margins, the cutouts, below normalized levels right now? And why do you think they're going to get, sort of trend towards the normalized level later this year?
Jody H. Feragen: Good question. I think you have to look at the comparisons that we have to the first quarter last year where we had abnormally large pork operating margins. But as the market generally does, it trends back to some more normalized levels. The fact that we're seeing those tighter spreads in the first quarter of 2012, we would expect them to come back to more normalized levels, but certainly below last year.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Right. But why are they below normal? I understand the year-over-year comparisons are tough. But just forgetting last year's outperformance, I'm just saying -- I'm asking why do you think they're below normal? Is there weakness at the retail level? I mean, I'm trying to understand why they're below normal, they should be below year ago because year ago was too high, but why do you think they're below normal?
Jody H. Feragen: I would think that exports probably play a part in it. So the demand side of exports have been strong. We also saw, perhaps, a little bit larger harvest in the first quarter from the industry standpoint. So whether that ran up the prices of live hogs, that could be part of the impact.
Operator: Your next question comes from the line of Lindsay Mann.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: Just wanted a couple of quick questions. First of all, I was a little bit surprised to see -- I mean, I think the conventional view is that when Refrigerated Foods is weak from a margin perspective, you get some offset in Grocery. So can you just talk about the dynamics between the 2 divisions?
Jeffrey M. Ettinger: I think what occurred this quarter that did sweep across both areas was unexpectedly high input costs and we knew it last summer, they spiked. We knew it for the full year this year, we were looking at general increases, but our early look had been this fall and early winter time frame would see more of a normal seasonal dip. So that did not really occur. And so when you get into whether its pork trim or some of the beef inputs, those areas that affect both franchises. So on Grocery, it affects the SPAM, it affects bacon bits when you have those higher pork inputs just as it does some of the items on the meat product side. And then beef, same thing. Some of our meal-based items Dinty Moore, et cetera, have really felt the squeeze from those higher inputs than we had anticipated.
Lindsay Mann - Goldman Sachs Group Inc., Research Division: Okay. And then just on Jennie-O, the division continues to perform exceptionally well. I'm just curious how you guys think about some of the commodity dynamics looking forward, particularly on the supply side and how you're positioned to sort of mitigate those factors?
Jeffrey M. Ettinger: Well, I mean, we are seeing some increase in egg sets and poult placements and an anticipation of an overall volume increase in turkey of probably 3% to 4%. We're -- because we're so focused on our value-added portfolio, we want to keep it, our structure, as tight as possible. And that was part of why we went into this year with a diminished expectation in terms of overall production. And so we have the right balance to be able to maintain values in those areas. And in terms on how they're reacting in the marketplace, I mean, still very solid results on the retail side of the business. A little more softness in foodservice and deli. But overall, obviously, Jenny-O came through with a very strong quarter.
Operator: Your next question comes from the line of Mr. Ken Zaslow.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Just one question. You did mentioned SPAM, Hormel and party trays as well as Mary Kitchen and Hash, can you just talk about how those brands are performing just to complete out the retail brands?
Jeffrey M. Ettinger: Okay. SPAM had quite a weak quarter on the domestic side, a very strong quarter outside the United States, and we sell almost as much SPAM outside of the United States now as we do in the U.S. So that's the key driver to the success of the International business segment. Solid quarter in terms of party trays. Hash was down slightly, not as much as Chili and SPAM. -- I'm sorry, you mentioned a fourth item, I'm forgetting it. What was the other one that you wanted to know our trend on?
Kenneth B. Zaslow - BMO Capital Markets U.S.: Hormel.
Jeffrey M. Ettinger: Just Hormel Chili or just...
Kenneth B. Zaslow - BMO Capital Markets U.S.: Yes. Just Hormel Chili, yes.
Jeffrey M. Ettinger: Yes. Our Hormel Chili was down in the high single-digit level, so it was definitely a soft year, kind of had that impact more similar to SPAM.
Kenneth B. Zaslow - BMO Capital Markets U.S.: And when will the increased advertising start to hit, that we could start to see maybe in retail, a date that we could start to see the turn in the brands?
Jeffrey M. Ettinger: Definitely. So we, the Compleats -- for the Hormel Brand campaign, we're featuring 3 items this year: Natural Choice; Pepperoni; and Compleats. That advertising first went on-air on the last 2 weeks of the quarter, so not enough time to really impact Q1, but it's on-air right now. In terms of our new SPAM Creative, it's the first campaign we've had now in 3 years domestically for SPAM. That goes on-air here in late February and should have us a decent impact on Q2 and going into Q3.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Great. And my last question is the Specialty. What's going to take that's up from -- like, it seems to somewhat disappoint a little bit, relative to our expectations and it seems like a business that should be starting to turn the corner and we anticipate it turning the corner. But what's it going to take to actually make the business kind of get to that $20 million or $25 million operating profit per quarter? I think it's kind of higher than more normalized run rate.
Jeffrey M. Ettinger: Well, I mean, we had a good fourth quarter with Specialty Foods and we definitely anticipated doing better in the first quarter. They didn't miss by a lot. I mean, it was in the range of $1 million. And then there's a lot of things that can go on in a quarter that can lose you $1 million. I think the team has their hands on those things. We did see volume gains. So we're good on the top line side in terms of Specialty Foods. So it really is a matter of creating the right efficiencies in the business and getting their pricing up, which they had to do that some during the first quarter and those will now be reflected in Q2.
Operator: Your next question comes from the line of Farha Aslam.
Farha Aslam - Stephens Inc., Research Division: Could you just give us some more color on the MegaMex JV? In terms of what's the total sales of the JV, what portion now is going to be in Hormel's P&L and kind of what the operating profits are of the JV? And what we can expect on the -- come through on the equity income line?
Jeffrey M. Ettinger: Well, I think the sales part we certainly can give you some good color now. The latter part, we might need then -- maybe I'll do a follow-up with Kevin to give you that kind of level of detail. In terms of sales, what has been reflected thus far in the sales line in Grocery Products are both of the franchises that the partners brought to the MegaMex venture, so that would be Herdez, CHI-CHI'S, MANNY'S, El Torito, La Victoria, those types of items. The 2 acquisitions that the joint venture has been subsequently made, Don Miguel and Fresherized Foods, to this date have not been reflected in sales. They have flowed through to the extent we've owned them through equity and earnings on our half of the profits. So what Jody announced this morning is starting the second half of fiscal 2012, we will be integrating the Don Miguel piece. We will be selling it through our sales force and running it through our invoicing system and our distribution system. And so from then on, those sales will start being reflected within the GP sales results. They won't change the profit any, because we still had our 50% share of the profits already in that business. And then in terms of the Wholly Guacamole, the whole Fresherized side, which is $100 million-plus in sales, those are still not being reflected through even with this change. We've just brought that on board and that's still being run separately.
Farha Aslam - Stephens Inc., Research Division: Okay. And so the margins in Grocery with all of these changes, where would you expect full year EBIT margins in grocery to come out roughly?
Jeffrey M. Ettinger: Well, that's where -- I think we'd want to follow-up with you on that. I mean, this is going to be a partial year. Clearly, as we've kind of teed up in the past, we recognized it as we bring in sales that only have 50% earnings component that's going to change the outlook in the long run as to what should you see for a percentage operating margin from Grocery, it will lower it a little bit. But in terms of the exact number on that, we can give you what our normalized year will look like and maybe some sense for what the remainder of this year will look like. But I can't really do it on the fly here.
Farha Aslam - Stephens Inc., Research Division: Okay. And then just more color on Jennie-O Turkey Store. You had highlighted the value-added mix and highlighted that it was your promotional and sales efforts on that value-added product. Did you get any benefit that's probably more permanent in terms of your gains and distribution, because Cargill's issued earlier this year. And is that sustainable longer term in terms of the distribution gains? And also, do you have grain hedges that were better than the market that's flowing in, helping those results?
Jeffrey M. Ettinger: Okay, I'll let Jody answer the second part. In terms of the first part. I think we probably saw a little bit of benefit from customers who had uncertainty about their supply availability in relation to Cargill's recall last year. We're building franchises for the long term and we're really -- when we have dialogues with customers, we make it pretty clear, we're not looking to be a 3-month fill-in item. There's this significant demand for this product line and we really look for customers who are going to build a program with us. So we think the business that we've added on primarily is a business that should stick with our franchise and should benefit from the fact that we advertise the brand and we promote it very strongly in the marketplace.
Jody H. Feragen: As far as regarding hedges, I would say that in 2011, we had a more aggressive position on our hedges as well as that more favorable prices than we do in 2012. So we actually saw a rise in our overall feed costs for Jennie-O for the quarter.
Operator: Your next question comes from the line of Tim Ramey.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Jeff, I'm still trying to get my hands around this Jennie-O Turkey Store result, because it is stunningly good. And I totally viewed last year's first quarter as an outlier, not something that related to low-cost grain last year and difficult to repeat. And you're not giving us a lot of kind of outlier sort of talk about this. I mean, you're verbiage sounds like this is somewhat normal, and that would be awesome news if that's true. But can you just kind of talk through this margin structure, and should we be thinking of just structurally higher margins in Jennie-O going further forward?
Jeffrey M. Ettinger: Well, Tim, our goal for Jennie-O this year was to have them hold their own as best as they could with a strong year last year. And obviously they're off to a very good start in doing that. We would certainly point out that our 20% operating quarter, just as it was last year, the Q1 and Q4, they're strong quarters, that certainly is not the operating rate that we would anticipate maintaining throughout the year. But we feel they're a combination of the promotions they've done, the cost saving efforts that they have in place, the pricing that they've pushed, et cetera, at this point puts them in a good position to deliver against that goal of holding their own for fiscal 2012. In terms of the long-term, I mean, I think what we've suggested is we do think we've slid the range up, and we do think we've narrowed the range by tightening our bird supplies and making sure we're not a big player in the commodity meat realm of turkey. But clearly, there still is potential -- it's not always going to be exactly on one number. There still is a range of results that could happen at Jennie-O Turkey Store.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Got it. You didn't view this as an outlier number. I think last year, you really did view the first quarter as an outlier number.
Jeffrey M. Ettinger: The Jennie-O performed probably a little better than we expected for the quarter, so we're pleased with their performance. But I don't see it as something that was a ridiculous outlier.
Operator: Your next question comes from the line of Diane Geissler.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: I just want to ask about the second quarter trends and then maybe some of your commentary. So I understand that there was maybe a little bit higher retailer stockouts during the December, January time period and I just wanted to know if you've heard anything about that from your sales team? And then sort of what have shipments looked like here if you opened the second quarter? And then, also just some clarity on your comments about how you expected the first half of the year to be challenging? I think consensus and I appreciate you don't give quarterly guidance anymore, but I think consensus is looking for earnings to be up on a year-over-year basis. But I guess, is your commentary about the first half of the year being the tougher comps and a little bit tougher, mean that you're looking for your budget says the second quarter's going to be down year-on-year?
Jeffrey M. Ettinger: In terms of the first part of your question, we -- I had not heard a lot from our group about retailer stockouts during that period of time. So we wouldn't attribute our results on either direction to that. Clearly, the focus of the sales team within the Grocery area is to get the right mix of features, pricing products to support the advertising that's about to get turned on and to then start getting -- reversing the trend in terms of those results. We're just 3 weeks into the new year. So I really don't -- excuse me, the new quarter. So I really don't have a read for you on that. In terms of one of the other major drivers of results, the pork packing margins that Jody referred to, those are still quite soft right now, and those are numbers that everybody can read and see. In terms of a quarter, I mean, not wanting to sort of fall back into the mode of giving quarterly guidance, I think I can at least say that our expectation for the unit -- for the total business for the quarter would be a flat to slightly up quarter. That's the kind of range of results, I guess, we're looking at for Q2.
Diane Geissler - Credit Agricole Securities (USA) Inc., Research Division: Okay, great. And then can I just ask on the Foodservice? You're not alone in talking about some near-term strength that you're seeing in the Foodservice channel. Do you attribute that to the weather impact? So people weren't snowbound this year, they were out and about during the holiday time period or do you think that's -- so was it just sort of we got lucky with the weather, or do you think it's a sign that the consumer has improved and we're going to see sort of a more sustainable trend there on Foodservice versus eating at home?
Jeffrey M. Ettinger: Okay. Our group once again was able to outperform the industry, which is certainly one of the goals we have in terms of share within that category. So the industry was up slightly and we certainly did a little bit better than that. I would guess that there had to be some weather effect. I mean, if we're saying that, that went away from some of the centers or sections in retail yet the same amount of meals were eaten ultimately, clearly somebody benefited within the Foodservice segment. I think our team right now would say that they're guardedly optimistic in terms of those volumes holding, probably would have been even more so, except that -- I don't know, everyone's watching a little bit the recent spike in gas prices and what that might do to consumers. But putting that aside, we do feel we have momentum heading into the second quarter in terms of our Foodservice volume.
Operator: Your next question comes from the line of Robert Moskow.
Robert Moskow - Crédit Suisse AG, Research Division: Actually, I had a follow-up on, I guess, the explanations on pork margins and why they're weak. I would've thought with exports being strong that, that would be a positive for pork cutouts, and you mentioned that as a negative. And I'm just more curious about what you're seeing in terms of the packing facilities being disciplined. I thought that was a big benefit in fiscal '11, a lot of capacity had come out of the system. Are you seeing any industry capacity coming back in and is that adding to the issue on softer margins?
Jody H. Feragen: I guess I'll take that, Robert. I haven't seen large-scale additions to capacity from a harvest standpoint. But some of that can be impacted by the number of Saturdays that get operated within the industry. And I think that we saw, perhaps, stronger than traditional numbers in the industry for the first quarter, particularly in January. So to me, that drives up the price of the hog. And then the export drives up the price of the components that go into the cutout out, and we call the difference between the 2 the pork operating margin and that's as best as I've been able to understand what's impacting that, and they still remain pretty soft today.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. So maybe some extra operating going on, on Saturdays might have impacted it?
Jeffrey M. Ettinger: It seems that way.
Robert Moskow - Crédit Suisse AG, Research Division: Yes, okay. And just, Jeff, your comment on second quarter being flat to a little bit up, is that for the overall business?
Jeffrey M. Ettinger: Yes, that was company-wide.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. And Refrigerated Foods was well below my expectations here on profits, but sales were well above. I guess you attribute it to just really just the pork cutouts. If you strip out the pork cutouts, were things pretty much in line with the year ago on a Refrigerated basis?
Jeffrey M. Ettinger: Well, the other thing that hurt us during the quarter was kind of what I was alluding to when I asked the question earlier about going across the franchises. The second piece was in addition to the margin of processing being squeezed, but the absolute value of the primals was higher than we thought, and not just the primals, the trim, et cetera. And so there were cases, particularly within our retail portfolio where we did experience some margin squeeze during the quarter, just because those inputs were higher than what we had anticipated. And in Retail, I mean, the pricing is just slower. I mean, you tend to have to give 60 days notice and honor your features and so forth. Our Foodservice Group did a better job of being very current with the pricing versus these changes in cost.
Operator: Your next question comes from the line of Eric Larson.
Eric J. Larson - Piper Jaffray Companies, Research Division: I just want to drill down, Jeff, just a little bit more in your turkey margins. I know that maybe it's 12 or 24 months ago, you folks took a much more aggressive cost cutting approach to that business. You did make a big splash of it -- you just mentioned that you did make a big splash, but you didn't quantify necessarily the numbers. But I remember it was a fairly significant program. Is that -- would that be now -- past you, would that be -- starting to be reflected in your margins at Jennie-O? And I know that last year you did not have a market-to-market gain in that 20% margin and it looks like you actually had up-costs this year. So it is a surprising margin and I'm just trying to get a better feel for, i.e., sustainability. It really kind of relates along to Tim Ramey's question.
Jeffrey M. Ettinger: Sure. On the second part, I mean, we look at cost on a total cost-in basis and that's what the team is seeking to price against and that's when they look to try to manage their whole system in terms of total cost. Then say, okay, netting in your hedge, netting in everything you see with your grain positions and what the current market is, what's it going to take to deliver a decent margin within the business, and the team's done a very good job of that. In terms of timing, I think the impact of most of those efficiency changes that we've been seeing now for 5 quarters. I mean, that they've been in place and the team continues to do a good job of bringing those home. So that definitely was a focus for the group. Probably occurred over a couple-year time frame and is still being executed very well.
Eric J. Larson - Piper Jaffray Companies, Research Division: Okay. And then just this next question, which is my last one, it's sort of an odd-ball question. I noticed that you'd mentioned in your press release that Country Crock is still a registered trademark of the Unilever group? I would have thought that you would have gotten that trademark through the acquisition. Does Unilever use the Country Crock trademark internationally or something or what? How come you were not able to secure the trademark for Country Crock when you acquired the business?
Jeffrey M. Ettinger: The Country Crock brand actually had a much more significant presence for Unilever in the margarine segment. And so that business, they are still selling everywhere. So what we have is a transitional agreement. We have the right to continue to use the brand in this category for it's either 3 years or 4 years, somewhere in that ballpark. We're already in the process of transitioning the item. We've added the Hormel brand to it, so it's now Hormel Country Crock. We note from our consumer research that frankly the colors and shape of the product are very -- of the package is very important also. So we have a high degree of confidence that as we phase out of the Country Crock brand, again, we won't miss a beat and the consumers will understand the product. And in a way, it will actually probably help us in the long run because we're selling it right with our Hormel Entrées and so it allows us to promote them with the same brand name. So we're in good shape with that, but we still have -- you'll probably still see the Country Crock on there for at least a little while longer.
Eric J. Larson - Piper Jaffray Companies, Research Division: Yes, I think I did. I think you actually co-brand Country Crock/Hormel on the package right now. I think that's what I -- I was just curious as to what that arrangement was.
Operator: [Operator Instructions] And your next question comes from Christine McCracken.
Christine McCracken - Cleveland Research Company: Sorry for the background noise, I'm here at USDA. I was just curious on your export outlook for pork. If you look at the record numbers we had in 2011, especially with foot and mouth in Korea as the big orders into China in the second half. I'm just curious as you look out at this year and your expectations around pork margins, I'm wondering how should we think about the potential hurdles there? Are you still looking for another record year to top last year? Could there be some additional pressure if things start to slow down a little? It seems like you've mentioned that it's a little softer here to start the year. I'm just curious, how should we think about that?
Jody H. Feragen: Well, I wish I had a crystal ball. We've had extremely strong exports for 2 years, 2 years of record, so record-over-record. Is that sustainable for a third year? They seem to be strong now, but currency has a lot to do with the impact on that. I don't -- I would guess that they'll still be strong, but I would probably suggest that they won't be record and that's just my opinion.
Christine McCracken - Cleveland Research Company: So with nearly 30% of pork going into export markets, couldn't that put some additional pressure on pricing overall? And then as it relates to your portfolio, how should we factor that in?
Jeffrey M. Ettinger: Well, I mean, it definitely factors into the overall processing margin in terms of what the primals are worth and the product costs. I mean, the other element for us to point out at Hormel, though, in terms of the kind of sales impact, is we're really not a big player in terms of some of the more primal-oriented export markets in the area of pork. We tend to do more specialty items in those markets. And those have been -- we've grown them, but that's been much more consistent and it's much less susceptible to what the current market is.
Operator: Your next question comes from the line of the Mr. Robert Moskow.
Robert Moskow - Crédit Suisse AG, Research Division: Just a quick reminder, is Don Miguel accretive in the back half of the year to EPS?
Jeffrey M. Ettinger: Yes.
Jody H. Feragen: Yes.
Robert Moskow - Crédit Suisse AG, Research Division: By how much?
Jeffrey M. Ettinger: We haven't really specified with the different Mexican acquisitions. It's definitely providing a benefit, though, to the overall GP franchise.
Robert Moskow - Crédit Suisse AG, Research Division: Seems like bigger than a pepperoni stick with me or bigger than a...
Jody H. Feragen: I mean, from a sales standpoint, we gave you some color of between $75 million and $85 million that would happen in the back half of the year.
Jeffrey M. Ettinger: And that -- and we had a pro forma we did the business acquisition on and it's meeting or even slightly exceeding that pro forma. So we're very happy with it.
Operator: Mr. Jones, there are no further questions at this time. Please continue.
Kevin C. Jones: Okay. Thank you all for participating in the call. Please feel free to follow up with me with any follow-up questions. Otherwise, thank you for listening in. And have a great day. Bye-bye.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.